Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals 2025 Third Quarter Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Friday, November 7, 2025, at 11:00 a.m. Eastern Time. I will now turn the conference over to Emma Murray, Vice President of Investor Relations. Please go ahead.
Emma Murray: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton's Chief Executive Officer; Haytham Hodaly, President; Curt Bernardi, EVP Strategy and General Counsel; Vincent Lau, Chief Financial Officer; Wes Carson, VP Mining Operations; and Neil Burns, VP, Corporate Development. For those not currently viewing the webcast, please note that a PDF version of the slide presentation is available on the Presentations page of our website. Some of the comments on today's call may include forward-looking statements. Please refer to Slide 2 for important cautionary information and disclosures. It should be noted that all figures referred to on today's call are in U.S. dollars, unless otherwise noted. With that, I'll turn the call over to Randy Smallwood.
Randy Smallwood: Thank you, Emma, and good morning, everyone. Thank you for joining us today to discuss Wheaton's third quarter results of 2025. We are pleased to announce that our portfolio of long-life, low-cost assets has once again delivered strong results this quarter, enabling us to achieve record revenue, earnings and operating cash flow for the first 9 months of 2025. This performance underscores the streaming model's unique ability to generate predictable levered cash flows while maintaining a deferred payment schedule, an advantage not offered by the traditional royalty model, which requires full upfront payments and lacks embedded leverage. And of course, 100% of Wheaton's revenue comes from streams, providing a competitive advantage amongst others in the space. As a result of strong performances by key assets, including Salobo and Antamina, coupled with the ramp-up of production at Blackwater and Goose, we recorded production of 173,000 gold equivalent ounces this quarter and are firmly on track to achieve our 2025 production guidance of 600,000 to 670,000 gold equivalent ounces. And with over $1.2 billion in cash and undrawn $2.5 billion revolving credit facility in Accordion and strong growing projected cash flows, the company remains well positioned to meet all funding commitments and pursue new accretive opportunities continuing to grow our -- and continuing to grow our competitive dividend. Based on this strong financial foundation, Wheaton also continues to invest in innovation across the mining sector as well as community initiatives alongside our mining partners. During the quarter, Wheaton launched its second annual Future of Mining Challenge, which this year focuses on advancing sustainable water management technologies. Following the close of expressions of interest phase, 17 proposals have been selected to advance with the winner to be announced at the PDAC conference in March of 2026. And with that, it is my pleasure to now turn the call over to our President, Haytham Hodaly.
Haytham Hodaly: Thanks, Randy, and good morning, everyone. Alongside strong performances from our producing assets, Wheaton's growth profile was further derisked through continued progress across 6 key development projects scheduled to come online over the next 24 months. Notably, several of these projects have announced accelerated time lines or expansions, reinforcing confidence in our previously forecasted 40% production growth by 2029. Furthermore, recent joint venture announcements marked significant progress for Copper World and Santo Domingo, further derisking both projects. We are pleased to have announced 2 new streaming transactions over the past 2 months, one with Carcetti on the Hemlo mine and another with Waterton Gold on the Spring Valley project, for which Neil Burns will share more details later in this call. These announcements reinforce our disciplined approach to capital deployment as we remain focused on identifying accretive opportunities that are thoughtfully structured to deliver meaningful and lasting value for all stakeholders. With a solid foundation of organic growth that continues to strengthen, the company is well positioned to pursue opportunities that align with our long-term strategy and uphold our commitment to quality as we have demonstrated with our most recent transactions. And with that, I would like to now turn the call over to Wes Carson, who will provide more details on our operating results. Wes?
Wesley Carson: Thanks, Haytham. Good morning, everyone. Overall production in the third quarter was 173,000 ounces, a 22% increase from the prior year, primarily due to strong production at Salobo and Antamina, coupled with commencement of production at Blackwater. In Q3, Salobo produced 67,000 ounces of attributable gold, a 7% increase from the last year, driven by higher throughput grades and recovery. Vale reported that by the end of July, Salobo III had fully ramped up and the entire complex is now operating at full capacity, consistently delivering strong operational performance. Vale continues to advance a series of growth-focused initiatives to enhance efficiencies and support long- and medium-term production growth across the Salobo complex. Constancia produced 19,500 ounces of attributable GEOs in Q3, a 9% improvement from last year, primarily driven by 19% higher gold production resulting from higher grades, partially offset by an 11% decline in silver output due to lower throughput. On September 23, 2025, Hudbay Minerals commented on the ongoing social unrest in Peru, where Constancia was impacted by local protests and illegal blockades. The mill was temporarily shut down as safety precaution, while authorities addressed the situation. On October 7, 2025, Hudbay announced that operations had resumed and throughput has since returned to normal levels. Penasquito produced 2.1 million ounces of attributable silver in Q3, up 17% from last year, primarily driven by higher throughput and partially offset by lower grades as mining transitioned back into the Penasco pit, which contains lower silver grades relative to Chile Colorado. In the third quarter, Blackwater produced 6,400 ounces of attributable GEOs supported by higher-than-expected throughput and grades. Production for the year is expected to be weighted to the fourth quarter with higher mill throughput rates and feed grades expected compared to Q3 2025. Artemis has also announced a 33% increase to Phase 1 processing plant capacity, raising the nameplate from 6 million tonnes per annum to 8 million tonnes per annum with a targeted completion date by the end of 2026. In addition, Artemis is nearing completion of front-end engineering and design work for an optimized and accelerated Phase 2 expansion with an investment decision expected before year-end. In Q3, Almina restarted production of the zinc and lead concentrates at the Aljustrel mine, resulting in the resumption of attributable silver production to the company. During the quarter, Goose transitioned from commissioning to commercial production, which was announced on October 6. As reported by B2Gold, open pit and underground mining rates at the Umwelt deposit have continued to meet or exceed expectations during the 30-day commercial production period. B2Gold has also reported that gold recoveries have been in line with expectations and are expected to average higher than 90% through Q4 of 2025. Wheaton's production outlook for 2025 remains unchanged with -- and we continue to believe that we are well on track to achieve our annual production guidance of 600,000 to 670,000 GEOs. At Salobo, attributable production is expected to remain steady through the remainder of the year, supported by solid mining rates and consistent plant performance through Salobo I, II and III. At Penasquito, attributable production is forecast to be in line with budget and slightly down from Q3 due to steady mill performance and planned mine sequencing within the Penasco pit. At Antamina, attributable production is anticipated to strengthen in Q4 as the mine continues processing a higher portion of copper zinc ore. As mentioned by Randy, we remain confident that our catalyst-rich year is progressing as expected, with initial contributions from Mineral Park, Platreef and Hemlo still forecast by the end of 2025. That concludes the operations overview. And with that, I will turn the call over to Vincent.
Vincent Lau: Thank you. As detailed by Wes, production in Q3 was 173,000 GEOs, a 22% increase from last year due mainly to strong production from Salobo and Antamina, coupled with the commencement of production at Blackwater. Sales volumes were 138,000 GEOs, an increase of 13% from last year, driven by strong production from the second quarter, partially offset by a buildup of produced but not yet delivered or PBND, due to timing differences between production and sales. At the end of Q3, the PBND balance was approximately 152,000 GEOs, which is about 2.9 months of payable production. We expect PBND levels to stay at the higher end of our forecasted range of 2 to 3 months for the remainder of 2025, partly due to the ramp-up of new mines forecast in Q4. Strong commodity prices, coupled with solid production led to record quarterly revenue of $476 million, an increase of 55% compared to last year. This increase was driven mainly by a 37% increase in commodity prices and a 13% increase in sales volumes. 58% of this revenue came from gold, 39% from silver and the rest from palladium and cobalt. With silver recently outpacing gold and reaching record highs, our substantial silver exposure sets us apart from our peers and positions us well to benefit from the current pricing momentum. Net earnings increased by 138% from the prior year to $367 million, while adjusted net earnings increased by 84% to $281 million. Operating cash flow increased to $383 million, a 51% increase from last year. These gains outpaced the increase in gold and silver prices during the same period, highlighting the leverage from fixed per ounce production payments, which made up 76% of our revenue. During the quarter, we made total upfront cash payments for streams of $250 million, including $156 million for Koné, $50 million for Fenix and $44 million for Kurmuk as our portfolio of development assets continued to advance toward production. During the quarter, CMOC exercised its 1/3 buyback option under the Cangrejos PMPA in exchange for a $102 million cash payment, resulting in a gain of $86 million and delivering an impressive pretax IRR of 185% to Wheaton. Overall, net cash inflows amounted to $151 million in the quarter, resulting in a cash balance of approximately $1.2 billion at September 30. For the Hemlo stream, we expect to make the entire $300 million upfront payment at deal close in Q4 2025 and begin recording production immediately thereafter. For the Spring Valley stream, the total upfront payment of $670 million will be paid in installments as various conditions are satisfied. This structure reflects our disciplined approach to providing funding throughout construction while ensuring the project remains adequately financed and on track at each stage. When these 2 streams are added to our existing stream funding commitments, we expect to disburse approximately $2.5 billion in upfront payments by the end of 2029. This reflects growth that we have seeded but not yet funded and demonstrates a highly efficient use of our capital. With $1.2 billion in cash and expected annual operating cash flows of $2.5 billion over the next 5 years, we currently expect to fund these commitments without using debt. In addition, our fully undrawn $2 billion revolving credit facility, together with a $500 million accordion provides exceptional financial flexibility and positions us with the strongest liquidity profile amongst our peers to pursue additional accretive opportunities. This concludes the financial summary. I'll now hand things over to Neil to walk through the details of Hemlo and Spring Valley streams.
Neil Burns: Thanks, Vincent. It's been a very busy few months for the corporate development team, and I'm delighted to provide an overview of our 2 most recent deal announcements, which further reinforce Wheaton's already sector-leading growth profile. On September 10, Wheaton entered into a financing commitment with Carcetti Capital Corporation to support its proposed acquisition of the Hemlo mine. Upon deal close, which is anticipated in the fourth quarter, Carcetti intends to change its name to Hemlo Mining Corporation or HMC. Wheaton's initial financing commitments included a gold stream of up to $400 million. However, following the strong success of its recent equity raise, which Wheaton supported with a lead order of $30 million, HMC has indicated its intention to proceed with a $300 million amount. In this scenario, Wheaton expects to receive 10.13% of payable gold until a total of 136,000 ounces have been delivered, after which Wheaton will receive 6.75% of the payable gold until an additional 118,000 ounces have been delivered, after which Wheaton will receive 4.5% of payable gold for the remaining life of the mine. These amounts would be adjusted proportionally if HMC were to elect a different stream amount. In return, Wheaton will make ongoing payments with gold ounces delivered equal to 20% of the spot price. Each of these drop-down thresholds will be subject to an adjustment if there are delays in deliveries relative to an agreed schedule commencing in 2033. If deliveries fall behind an agreed schedule by 10,000 ounces or more, the stream percentage will be increased by 5% until deliveries catch up in a mechanism that's aimed to mitigate timing risk. Assuming that HMC elects an upfront payment amount of $300 million, attributable gold production is forecast to average over 14,000 ounces of gold per year for the first 10 years of production and over 10,000 ounces per year for the life of the mine. Hemlo presents an opportunity -- a unique opportunity to add immediate [ attributable ] gold ounces from a politically stable jurisdiction backed by a long history of production and a very capable operating team. We are proud to support HMC in its acquisition of a mine that has long been considered a cornerstone in Canada's mining industry while also continuing to contribute to the momentum across the sector. Just yesterday, you will have seen Wheaton announced gold stream on the Spring Valley project located in Nevada and owned by Waterton Gold for cash consideration of $670 million. This represents a compelling opportunity to secure a significant gold stream while supporting an existing partner in the development of a high-quality, low-cost gold mine located in a prolific mining jurisdiction. Under the agreement, Wheaton will receive 8% of the payable gold until 300,000 ounces have been delivered, after which Wheaton will receive 6% of the payable gold for the remaining life of mine. In return, Wheaton will make ongoing payments for the ounces delivered equal to 20% of the spot price until the uncredited deposit has been fully reduced and 22% of the spot thereafter. Wheaton will also provide a $150 million cost overrun facility to provide further capacity to a project with an already conservative capital estimate. Attributable gold production is forecast to average 29,000 ounces of gold per year for the first 5 years of production and over 25,000 ounces of gold per year for the first 10 years, first production expected in 2028. This production profile reflects an optimized scenario that incorporates updated mineral reserves and resource estimates beyond the feasibility, which was published earlier this year. Located in a proven mining district, Spring Valley comprises an extensive land package of over 30,000 acres, very little of which has been explored. In fact, mining activities will occur on concessions, representing less than 5% of the total land package, leaving an opportunity for mine life extension with future exploration success. With its strong exploration potential, strategic location, proven leadership team, we believe Spring Valley aligns perfectly with our commitment to investing into high-quality assets in stable jurisdictions. We're excited to deepen our relationship with Waterton as they look to unlock the full potential of this asset. With that, I'll now hand the call back over to Randy.
Randy Smallwood: Thank you, Neil. In summary, Wheaton delivered another strong quarter marked by several key achievements. We delivered solid revenue, earnings and cash flow, resulting in record year-to-date performance. We made notable progress on our near-term growth strategy with Aljustrel resuming production of its zinc lead concentrates and the ramp-up of production at both Blackwater and Goose, reflecting the continued momentum of our catalyst-rich year. Our growth profile was further derisked as construction progressed across key development projects, including Mineral Park, Platreef, Fenix, El Domo, Kurmuk and Koné. In addition, joint venture agreements were announced for both Copper World and Santo Domingo, further derisking these projects. We also announced 2 accretive precious metal streaming transactions located in low-risk jurisdictions. First, on the currently operating Hemlo mine located in Ontario and just yesterday on Waterton Spring Valley project in Nevada. We believe our 100% streaming revenue model provides significantly greater leverage to rising commodity prices, while keeping us insulated from inflationary cost pressures, resulting in some of the highest margins in the precious metal space. We take pride in being the founders of the streaming model, an optimal alternative to traditional equity financing. Streaming provides upfront capital at a fair valuation without further share dilution, resulting in a dramatically improved return on invested capital and superior long-term value creation for the shareholders of our mining partners. Our balance sheet remains robust, providing ample flexibility to pursue well-structured, accretive and high-quality streaming opportunities. And finally, we take pride in our community investment leadership amongst precious metal streamers and have always and will always support both our partners and the communities where we live and operate. With that, I would like to open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question is from Will Dalby from Berenberg.
William Dalby: Yes. I have 2 questions. Firstly, on future growth. You've got a really compelling growth profile, but I'm just sort of wondering how you think your volume growth stacks up versus peers, both on an absolute and a risk-adjusted basis, sort of thinking in particular about some peers whose growth relies on restarts or on higher-risk jurisdictions. I'd be very interested to hear how you see your position in that context.
Haytham Hodaly: Thank you. It's Haytham. Will, thank you for the question. From an absolute perspective and a relative perspective, I'll tell you, we've got growth close to 250,000 ounces a year between now and 2029. And that is certain growth, that's growth that's actually been permitted and a majority of that, I would say, almost more than 90% of that's actually in construction and heading towards development towards production. In the next 2 to 3 years, there's 2 projects starting this year, a couple starting next year and another 1 or 2 starting over the next couple of years after that. So it's a very, very strong growth profile. In terms of the actual number of ounces, we're generating close to an additional 250,000 ounces, which is probably almost double what our next closest peer is actually generating in terms of growth over the same period. So we're very excited about that. And that excludes a lot of the growth that you're seeing here with these latest transactions as well, where with the Hemlo transaction, with the Waterton transaction, but not to mention a significant number of our peers have also announced expansions, optimizations, et cetera, between now and then, which are also not included in that number. So we're very optimistic and very excited about going forward.
William Dalby: Very clear. And then just a second question. If we rewind a bit, say, 10 years ago, your capital was largely going into repairing balance sheets. 5 years ago, it was mostly sort of funding gold projects. Looking ahead, do you see the next 5 years is more about deploying capital into larger-scale copper projects given the current supply shortage there and the need for new mines to come online?
Haytham Hodaly: Yes, definitely. I mean the large porphyry copper gold systems that we're seeing in the high sulfidation epithermal systems that we're seeing through some of the diversified base metal producers, those are definitely an area of future growth as they require billions of capital, not millions or hundreds of millions, but actually billions of capital. So streaming naturally should play and likely will play a part in the overall financing packages. There are still lots of opportunities we're seeing outside of that space as well, though, Will, I would say, with commodity prices where they're at, specifically, you look at silver as an example. Silver has had a nice run that is prompting many to consider what their silver is worth within their existing portfolio. So for the first time in a long time, we're seeing more -- not more silver, but are we see more silver opportunities, not more than gold, but we're seeing additional silver opportunities that we previously hadn't come to the market. So we're very excited about that as well.
Operator: Your next question is from Josh Wolfson from RBC Capital Markets.
Joshua Wolfson: I had a question first on Spring Valley. Some of the technical information out there is a bit light. I know there's a 2014 43-101 and then a feasibility study earlier this year, at least a summary of which I noticed that Wheaton provided some of its own interpretations of what the mine will look like. I guess just maybe drilling down on some of the assumptions, would Wheaton be able to provide some perspective on how it sees the asset in terms of what the underlying assumptions or changes in its perspective was versus the updated feasibility study? And also what we should think about recoveries? I noticed there's a big difference between the original 2014 report and what's -- what was issued earlier this year.
Neil Burns: Sure, Josh. It's Neil Burns here. Waterton did put out a feasibility study earlier this year, which was done not surprisingly with much lower gold prices. I believe the reserve pit was [ done ] at $1,700 gold. If you look on Salobo's website, they've updated their R&R. And I believe the reserves are at $1,800 and the resources perhaps at $2,200. They do model the recoveries, and they have updated those. Those are detailed in the footnotes of those R&R tables, and they do them separately by the Redox state of oxide transition and sulfide naturally with decreasing recoveries as you get into the sulfides. And they split it between the ROM and the crush. So I think that's a spot where you can get some additional color. And that was just updated, I believe, earlier this week.
Randy Smallwood: Josh, I mean, Spring Valley is so similar to hundreds of different operations down in Nevada, right? You're looking at a heap leach operation that's going to have crushed components. It's always going to be focused on the highest grade portion of whatever is coming out of the pit and then run of mine. And one of the areas of upside that I see in this -- that we see in this asset is the fact that, as Neil mentioned, the pricing for the reserves and even the resources are about half of what the spot price is right now. And the waste dump is about the same distance away from the pit as the heat pad. And so the ROM processing capacity, the decisions as to where that truck dumps that ore as it has lower grade material, but it's still economic because the spot price is of $4,000. I think there's incredible upside on this asset to even see more production than what's being forecast by Waterton. Just in terms of operational flexibility, it's a simple project. It's -- the highest grade of the day will go through the crusher and everything else. It will be a choice as to whether you put it into a waste dump or put it into a ROM heap leach pad and push it forward. So I just -- they're pretty simple Nevada. There's lots of capacity for heap. It's a big flat area just to the east of the ore body that has all sorts of expansion capacity. And so it's a classic Nevada operation that we see as it's going to be going for [indiscernible]. Just we're excited about what the real potential is here. And then the expiration over and above it, as Neil highlighted during the talk, so little of this property has actually been poked at. It's right north of the Rochester operation, which continues to shine for core. And of course, Florida Canyon is to the north. And so it's right in a corridor that's got a lot of mining history. And we do think that this asset is well set up to deliver.
Joshua Wolfson: Got it. One more question. I know we've talked about some of the Nevada premiums that are out there. This might apply in that situation. When you look at the value opportunity here in the valuation paid, how would you assess this in comparison to some of the public consolidation opportunities that could be out there depending on prices, obviously?
Randy Smallwood: Yes. I mean, consolidation, when I look at -- I mean the biggest comment I'd have on the consolidation side is that what we found is that a lot of the smaller companies have had to give up structural weaknesses, structural flaws in their agreements to try and get scale. And we've seen some pretty large-sized examples of that recently with deals scale of $1 billion with 0 security backing it. And so we just see issues with the value of some of those assets within the M&A side. And so as we like to say, we're -- we think there's no stream as good as a Wheaton stream. We invented the model and we continue to try and perfect it. I think Hemlo was a real step up in terms of how to actually deliver value not only to our shareholders, but to our partners in terms of support and strength all the way across and trying to find that great balance of satisfying both sides of the spectrum. And so the acquisition side, most of those companies do trade at a bit of a premium to NAV. And we -- whereas when it comes to going out and looking at new assets, we can find leasings at NAV or less, slightly less than that. It's still attractive compared to an equity financing or to other alternative forms of financing for these companies that are looking for capital. So as Haytham and now Neil, the team has done a great job of continuing to put the capital back to work, looking at opportunities like this. And I think Spring Valley is a great example of that. It's a lower-risk jurisdiction. It's our first real footprint into Nevada, which is a jurisdiction we've looked at for a long time, but we have seen some incredibly expensive transactions in our eyes -- take place in Nevada. This one we feel is attractively priced, especially when we go over the upside that we -- that I just finished describing to you. And so we're pretty excited about having this one. And we like this path. We're always looking at the M&A side. And if we do see some opportunities in that space that make sense, we would act. But to date, we're doing -- we find better value in just sourcing new opportunities. We are blessed with an industry that always needs capital. So that's our business, supplying capital.
Operator: Your next question is from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: Some of them have been answered already. Maybe, Haytham, for you, as I think about the environment, the opportunities out there, one of my questions was on silver. I just -- I think you touched it a little bit, you're seeing more on the silver side than previously. Are we seeing some big silver opportunities?
Haytham Hodaly: That's interesting, Tanya. It's funny you asked that question. There are some larger silver opportunities that are out there, but we're being very proactive to go out and find those. With that, I'm going to turn the mic over to Neil to just tell you a little bit about the current environment for growth.
Neil Burns: Thanks, Haytham. Tanya, in terms of volume, we continue to be as active as we've ever been. We have literally over a dozen active opportunities in the pipeline. From a stage perspective, it's interesting because we've seen an increase in operating opportunities, which is great to see. It's something we hadn't seen for a number of years. And it's also been driven by an increase in M&A activities with the major selling off some noncore assets. Metal mix, which you already touched on, is probably 60-40 gold, silver, I would say, at the time -- at this time. In terms of size, the majority are in the $200 million to $300 million range. But we also have a couple of exciting $1 billion-plus opportunities, but those are a bit longer lead time.
Randy Smallwood: The one thing, Tanya, that I would add on the silver side, your question is specifically on silver. Keep in mind that most silver is produced as a byproduct, actually from base metal operations. And the one thing that we're hopeful is that with the strength that we've seen in silver prices of late that perhaps some of those base metal operators would like to crystallize some of that value and help strengthen their own balance sheets and fund their own growth. And so that does fall into an opportunity set with this strength that we've seen where we may be able to pick up some, as Neil said, some operating access to silver streams on operating assets. So we're out there pounding the pavement. And with these kind of silver prices, there's definitely an interest in terms of learning more. So stay tuned.
Tanya Jakusconek: Yes. It's just I've been hearing more on the silver side. And so I just wondered if -- and I've heard of some of the big ones like $1 billion silver deals, and I just wondered if those were something that you were focused on.
Randy Smallwood: Yes. You know me well enough, Tanya, that I've always liked silver a little bit more than gold. So if there's opportunities in the space, we're definitely trying to track that down. Neil and the team are doing a great job on that front.
Tanya Jakusconek: And when you mentioned the $200 million to $300 million range, were those mainly on the gold opportunities?
Neil Burns: A mixture, actually. There is -- I would say, probably an even mixture between gold and silver within those $200 million to $300 million opportunities.
Tanya Jakusconek: Okay. And are you also seeing because I am hearing, and I don't know if that's the same, that's there's probably more assets for sale within the senior gold companies than the market expects. Like yes, we've seen Newmont sell out their Newcrest assets and Barrick's cleaned up their portfolio somewhat. But I'm hearing that there's also more coming out of the senior space than expected. Is that what you're seeing as well?
Haytham Hodaly: Maybe I'll answer that, Tanya, just with regards to divestitures from -- of noncore assets from senior producers. I will say that we did see a lot of that over the last 12 to 18 months, for sure. Right now, it has declined quite a bit. But obviously, with changing management teams, changing focus of various companies, we do expect that to start again. We haven't seen a lot of it yet.
Tanya Jakusconek: Okay. So you're expecting more of that to come?
Haytham Hodaly: We hope so. We'd love to be able to support another acquirer of some of these high-quality assets. Keep in mind, a lot of these assets when they were within these senior companies, they're being valued at a reserve base of, call it, Neil mentioned one $1,700, Barrick was doing theirs at $1,400 previously. You start using numbers of $2,100, $2,500, you go from a 6-year reserve life to a 20-year reserve life. So I think a lot of that is probably something we're going to see here in the near term.
Tanya Jakusconek: And just your Spring Valley acquisition, if you assume that all of the resources get converted and you can mine out 4 million ounces mineable, let's say, would it be fair to say at spot that you'd be in that sort of 4%, 5% internal rate of return, like in line with the cost of capital?
Haytham Hodaly: Well, based on our analysis, I can tell you our numbers are higher than that based on exploration upside that we've seen, based on expansions in the existing pit dimensions, based on the higher/lower cutoff grades, we are getting a higher rate than what you're quoting there. I will leave it to you to figure out what your actual rate is based on how many years of additional exploration upside you want to add on top of that, but we're pretty optimistic that eventually this will get to double digit.
Randy Smallwood: I will add, Tanya, that the resource is still limited. It's -- there's plenty of exploration potential, wide open mineralization. And so it's the drill data that's actually the limiting factor on the resource, not the economics.
Tanya Jakusconek: Yes. No, no. I mean I just looked at it on a 4 million-ounce mineable scenario. Okay...
Randy Smallwood: I've seen enough of it down there to think that there's probably even more than that.
Tanya Jakusconek: Yes. As I said, it's in the good camp. So those camps go on for a while. Maybe if I could ask just a modeling question. I saw the updated DD&A in the portfolio. Can someone just remind or reguide us on your depreciation and guidance for what you expect for 2025 and maybe 2026 with the new portfolio updates?
Vincent Lau: Sure. Tanya, it's Vince here. We did update our depletion on a normal course. Not a big change. Antamina, we saw a bit of a drop because they had some tailings lift there. Stillwater, a little bit higher just because of the change in mine plan. But all the detailed depletion rates, we've now put into the financials and in the MD&A. So you can see exactly what has happened there and help you out on the modeling front.
Tanya Jakusconek: All right. I forget what the guidance was corporately beginning of the year. But yes, I'll go back and...
Vincent Lau: I think net-net, it's not going to change materially going forward. So I would roughly say it's at the same levels going forward.
Tanya Jakusconek: Okay. And then my final question is maybe a reminder. I've seen a lot of the other companies sell out investment portfolios of equity interest. Can you just remind me what's left within yours?
Haytham Hodaly: Yes. There's -- we've got -- I don't have the list in front of me, Tanya. I can tell you, and it's listed on -- I think, on our -- at least some of it's broken down some of the larger positions, but we have about a USD 260 million equity book right now. I can tell you, we're not looking to divest any of those positions. Those positions are all with our existing partners that are ramping up operations. And we are going to continue to be strong supporters. Eventually, there may be some liquidity events where we can actually get off our positions. But at this point in time, we're -- if nothing else, we'd be helping our partners as they need it going forward to continue to strengthen their balance sheets.
Operator: Your next question is from Martin Pradier from Veritas Investment Research.
Martin Pradier: In terms of Antamina, I noticed that the depreciation dropped in half almost. What happened there...
Neil Burns: On depletion drop, yes. So...
Martin Pradier: Yes, the depletion...
Neil Burns: Thanks, Martin. Yes. So that really is, as Vincent mentioned, it's because of the tailings expansion. So right now, Antamina marks their reserves with tailings capacity. And in Q1 this year, Antamina managed to secure the permits for further expansion of the current tailings facility, and that increased the reserves dramatically, which then drops that depletion rate down. So that's the reasoning behind that.
Randy Smallwood: Essentially, what happened was the tailings capacity doubled, which meant that the -- with that much -- the depletion -- that much more -- the reserve doubled because of that excess capacity because with that tailings capacity, then you could class it as a reserve. And so it's -- the resource there is very, very high geological confidence, but Antamina's approach is that it's not a reserve until it actually has permitted tailings capacity. And so the fact that it went up just meant that we had a substantive increase in reserves, which means the depletion rate drops.
Martin Pradier: Okay. Perfect. I understand. And in terms of Salobo, should we expect a strong Q4? I thought that there was like a little bit higher grade in Q4.
Haytham Hodaly: Salobo is reasonably flat in Q4. So we're expecting -- we've seen very strong performance through the year this year. And we were just on site at the end of September there. And really, they are planning to continue on as they have for the rest of the year here. So reasonably flat for Q4.
Randy Smallwood: I think they moved forward a little bit of preventative maintenance that was scheduled in Q4 into Q3. So that should help a little bit on the Q4 side. There was a short stint in Q3. So...
Operator: Your next question is from George [ Ity ] from UBS.
Unknown Analyst: Nice update here again. Can I ask about the Spring Valley stream? And sorry, I joined a little bit late, so I may have missed this, but the payment profile can you remind me of the various conditions for the payment and the profile of time line, please?
Haytham Hodaly: Yes, you bet. I mean, still, I would say, of the $670 million, the majority of that will go in during development. There'll be a small amount that goes in upfront, approximately, I would say, $310 million over the next -- well, close to $310 million over the next 6 to 12 months, I would say. And then the remainder will go in alongside the company's equity investment. So we put in $120 million, they put in $120 million, and we do that a couple of times until we get to the $670 million number.
Randy Smallwood: It's strip fed over the construction other than a small amount ahead of construction starting just to get some equipment orders in and stuff like that, but it's trip fed over the construction, which is expected to start shortly.
Unknown Analyst: Yes. Okay. No, that's great. And then just talking before about all these asset opportunities coming up, some large ones, like that $900,000 per ounce -- sorry, the [ $870,000 ] rather GEO profile by 2029. Is it fair to assume there's potentially a bit of upside here with new streams like Spring Valley given the environment is so strong right now? Do you think that [indiscernible] is a bit of...
Randy Smallwood: Yes. Not only that, a lot of our existing operations and start-ups have announced accelerated plans for start-up and for expansions. We've got Blackwater moving forward with expansions. Platreef has accelerated their ramp-up in production over that 5-year period. Salobo itself also is fine-tuning in terms of trying to improve throughputs and recoveries. And so we -- even the existing portfolio without the new acquisitions has made that forecast look very conservative and gets us even closer to that 1 million ounce number sooner than later. Thank you, George, and thank you, everyone, for your time today dialing in. Our record-breaking performance over the first 9 months of this year underscores Wheaton's position as a premier low-risk choice for investors seeking exposure to gold and silver. Recent transactions in low-risk jurisdictions underscore the quality of opportunities we're pursuing. Our corporate development team continues to see strong demand for streaming as a source of capital, and we are excited about the pipeline of opportunities that lie in front of us. With our high-quality operating portfolio, 100% streaming revenue, sector-leading growth profile and unwavering commitment to sustainability, we offer shareholders with one of the most effective vehicles for investing in precious metals. We thank all of our stakeholders for their continued support as we enter this exciting period of sustained organic growth. We look forward to speaking with you all again soon. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.